Operator: Thank you for standing by ladies and gentlemen and welcome to Tsakos Energy Navigation Conference call on the Third Quarter 2012 Financial Results. We have with us Mr. John Stavropoulos; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session (Operator Instructions) I must advise you that this conference is being recorded today, Wednesday, November 21, 2012. Now I pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relations Advisor at Tsakos Energy Navigation. Please go ahead, sir.
Nicolas Bornozis: Thank you very much and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. Please be reminded that the company released its financial results for the third quarter and nine months ended September 30, 2012 this morning. The press release has been distributed publicly and you should have received a copy of it by now. Should you not have a copy, please call us at 212-661-7566 or email us at ten@capitallink.com and we will email it to you. Please note that parallel to today’s conference call, there is also a live audio and slide webcast which can be accessed through the company’s website at the front page at www.tenn.gr. The conference call will follow the presentation slides, so we urge you to access the presentation and webcast. Please note that the slides and webcast will also be available as an archive after the conference call. Also please note that the slides of the webcast presentation are user controlled, so by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1955. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect TEN’s business prospects and results of operations. Such risks are more fully disclosed in TEN’s filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point I would like to turn the call over to Mr. Nikolas Tsakos, President and Chief Executive Officer of Tsakos Energy Navigation. In introducing Mr. Tsakos please allow me to state that TEN’s results have continued to withstand the volatility and turmoil that has been affecting the industry. Your release clearly demonstrate your ability to navigate safely in the current market environment. And with this statement, Mr. Tsakos, please let me turn the call over to you.
Nikolas Tsakos: Well, Nicolas, thank you and good morning to everybody. It’s nice to present to you our third quarter results which although are not as profitable as we have been used to promoting for the last 19 years, it seems that perhaps we might be turning a corner. And we hope from the feeling we get in the market that hopefully the worst is over in our segment of the business which is the tanker, gas, and offshore business including shuttle tankers. The reason we have seen a traditional very weak quarter which is the third quarter, having been much better for the whole market and specifically for TEN because of our long-term and conservative employment strategy than where we were a year ago. So we hope we are always guarded optimistic that we are hopefully a year closer to returning to a much more profitable environment and much more balanced environment. We are seeing supply of our business really in (inaudible) which is very few -- actually no ships really being ordered as we speak. And at the same time we see a significant increase regardless of the world economic state, demand for our services. So we are one year older and wiser than last year and hopefully one year closer to returning to much more profitable environment. We are keeping the company as possible ready to take advantage of this situation while we navigate the choppy ways. I will not tire you anymore with -- I will be available for answering any questions and I will ask our Chief Operating Officer, Mr. Saroglou, and our Chairman to come in and Paul Durham to give you their take. Mr. Chairman.
John Stavropoulos: Thank you very much, Nikolas, and good morning or good afternoon to all of you involved in our call. I want to take this opportunity to wish everyone a very happy Thanksgiving. Those of us closely associated with TEN are particularly grateful to the leadership of our company and the strong support of the entire Tsakos team. Not unlike the pilgrims with (inaudible) we have a great respect for those who have brought us to a safe port despite the ugly storm. Although our harvest and feast will be somewhat delayed, we anticipate a grand banquet in the future for all of our stakeholders. Again, happy Thanksgiving to everyone.
Nikolas Tsakos: Thank you, Chairman. George?
George Saroglou: Thank you, Mr. Chairman. Thank you, Nik. It’s my pleasure to speak with all of you today to provide you with the details of the operation of another quarter. Let's turn to slide number three in the online presentation and let me start by briefly talking about the market conditions. Although third quarter is seasonally the weakest for energy transportation demand, this year we have seen glimpses of improvement. On the demand side, Chinese crude import in the third quarter were lower on the first half of the year but we have seen now rebound again. We had decrease in crude oil exports coming out of the Middle East and particularly from Saudi Arabia as increased local consumption for power generation for peak summer demand absorbed more barrels locally. And on the supply side we had the new building deliveries which continued to press freight rates lower, especially for large crude tanker categories like the VLCC and the Suezmax sector. On the more positive things, now global oil demand despite the recent downturn revision by the International Energy Agency due to the financial headwinds the global economy continues to face, it’s at all time high levels around 89.6 million barrels per day. And these are the levels that we have for 2012. The latest forecast for the next year calls for growth of 800,000 barrels per day, so we are looking at the demand number of 90.4 million barrels per day for 2013. The fourth quarter that we have entered is seasonally one of the strongest quarters for tanker demand and this is supported by both the global demand forecast of 90.1 million barrels per day and the actual freight market. VLCC rates going in have rebounded to levels above 55, almost reaching $40,000 as we speak while product tanker rates even before sandy hit the East coast of the United States, were strong and are still getting stronger. New ordering continues to slow. It’s almost non-existent lately hitting a ten-year low. We have a slide in the appendix, slide 13, which is showing the growth of the -- the development of the order book from 2009 until the present time. If you look at 2009, we had 27.4% of the fleet on order, now the figure is down to 11.7% and going to levels that are much more manageable for the industry. Bank debt is restricted to a smaller group of owners and is getting more expensive and that could temper the appetite of future speculative orders. And if scrapping gets stronger, than the tanker supply side could be well balanced earlier than most people expect. In this environment, TEN continues to focus on having a balanced and flexible chartering policy, in maintaining a very high fleet utilization, in operating efficiencies, cost containment and selective growth. The company continues to invest in LNG, a sector in the energy transportation with several fundamentals and growth prospects. TEN is also looking for opportunities in the shuttle tanker offshore sector, another sector with good growth prospects as most new oil discoveries in the world are also discoveries. And of course we look at opportunities in conventional tankers which we expect that more will come in 2013. We continue to see strong demand for our vessels from our clients. Since the beginning of 2012, we have chartered or re-chartered nine vessels including the Neo Energy, our operating energy vessel, to a four year time charter. We have rechartered our Suezmax Arctic to a three year time charter with profit sharing. Chartered the Aframax Proteas to a one year time charter with profit sharing. We have chartered three of our MR-1s Aris, Ajax and Apollon to fix time charter of five and three year for Aris and Ajax and one year for Apollon with profit sharing, and extended for two more years both the Aframax Nippon Princess and the Handysize Didimon and for one more year the Panamax Maya. These nine fixtures would generate minimum revenues of $220 million over a 2.4 year period. And as we speak, we negotiate more vessels in the fleet that have chartered that are due for renewal going forward. From the beginning of 2011 until to date, we have been able to charter and recharter 32 vessels out of the 51 vessels the company owns on time charter with period employment lasting for one year to 15 years. A combination of fixed rate charters and charters with profit sharing will generate over $1.1 billion in minimum revenues from the above fixtures. This time charter strategy has helped the company navigate safely through the trough of previous and current market downturn and has given TEN the ability to maintain a strong balance sheet, uninterrupted dividend distributions and enough liquidity for further growth. Going back to the highlights for the third quarter of 2012 in slide three. As we speak, TEN has a pro forma fleet of 51 tankers. This figure includes 48 vessels in operation. 2x DP2 Suezmax shuttle tankers under construction with expected delivery in the third quarter of 2013 and second quarter of 2013. The fleet is 100% double hull. Very modern. 6.2 years if you exclude the two VLCCs that are held for sale and have agreement to be sold before the year-end. 21 tankers have ice class capabilities and 33 vessels in the fleet have secured employment that ranges from one to 15 years. Thanks to our time charter philosophy, we continue to operate the fleet at a very high utilization rate, 98% for the third quarter of 2012 when the average for the tanker industry in the third quarter has been around 80%. Let's move to slide number four. This bullet slide has the highlights of our press release. Paul will present in detail the financial result for the quarter but a quick takeaway is the overall improvement in the net result which still doesn’t make us smile because it’s a loss and the tight control of the expense side of the business but always not at the expense of safety, and obviously the positive EBITDA that we have generated for more operating vessels. The next slide. List of fleet as it stands right now. Since inception we have built a sizable, versatile and very modern fleet to cater to the needs of our clients. Our crude tanker fleet today has 23 vessels ranging from VLCCs down to Aframax tankers. We have 26 product tankers. We are one of the largest product tanker owners in the world ranging from Aframax LR-2s down to Handysize. And we have to LNGs, one in operation, one on order and an option for a third one. The fleet has been built primarily with new building orders in Korea and Japan before new building prices started rising. The next slide is the employment side. We continue the balanced employment strategy of our fleet mixed with spot charter, COAs, pools and period charters with fixed rates and period charters with profit sharing arrangements. We currently have 15 tankers trading in the spot market, four vessels in pooling arrangements and 29 tankers in period charters with fixed rates and profit sharing arrangement. This figure includes the 2 DP2 shuttle tankers which will begin producing when delivered to TEN in the first and second quarter of 2013. The next slide puts a dollar value for the current fleet employment. As of today we have hit 63% of the remaining available 2012 operating days and 50% of the 2013 available fleet operating days. If we assume only the minimum rates, TEN has secured 1,245 months of forward employment or 3.6 years per vessels and over $1.1 billion in minimum gross revenues. Overall, we are optimistic for the long term prospects of our industry, the tanker market and continue to position the company to benefit from a sustainable recovery in freight rates when the upturn will happen thanks to the profit sharing element that most of our time charters have in place. We have 13 vessels in the fleet that have a profit sharing element built-in in their time charters. Slide eight demonstrates the track record we have in the sale and purchase which is an integral part of our operation. Since we have announced today that we have agreement for two of our oldest vessels to be sold before year-end, and basically the key takeaway is that we have generated $280 million of capital gains in the New York Stock Exchange listing which averages approximately $29 million per year. Let's go to slide number nine. This is the dividend distribution. This slide shows the history of our cash dividend distribution. We announced to date a dividend of $0.05 per share to be paid in December 20, 2012. In total since 2002, we have paid $9.58 in cash dividends or approximately $374 million and this compares with the listing price in our IPO of $7.50. TEN’s prudent business model aims to generate returns throughout the shipping cycle, is validated particularly in the current market environment where TEN stands out with a strong balance sheet, liquidity, modern fleet and long-standing customer relationships. Shipping is a volatile and cyclical business where a significant portion of the overall investment return is based on the timing and pricing of the asset acquisitions. Weak market can present strong companies like TEN with the opportunity to expand significantly shareholder value for the long term and the company’s entrance in the shuttle and offshore sector and the expansion in the LNG aims at that. That concludes the operational part of our presentation. Paul will walk you through the financial highlights of the third quarter. Paul?
Paul Durham: Thank you, George. As you will have seen TEN’s Q3 results were far better than the previous third quarter. While for the tanker sector as a whole it as a pretty rough quarter. Even given the usual seasonal downturn. Expect for our spot Suezmaxes, all categories, especially the LNG carrier, enjoyed higher rates than in quarter three 2011. Bunker costs fell by a third due to reduced consumption mainly because we were spared the painful repositioning voyages of the two older VLCCs that occurred last year. Quarter three revenue after voyage expenses was $68 million against $59 million in 2011. Quarter three rounded average daily TCE per vessel was $16,600 compared to $14,100 in quarter three 2011. And for the nine months period, $17,150 in these nine months and $16,150 in the previous year’s nine months. Operating income was $0.8 million dollars against $9 million operating loss in quarter three 2011. For the nine months, operating income was $11.9 million against $4.6 million last year which included a $5 million capital gain. Excluding the non-operating VLCCs, only four other vessels did not generate positive EBITDA in quarter three. For the nine months, all the operating vessels achieved positive EBITDA. Total EBITDA amounted to $26 million, $8 million more than in quarter three 2011. For the nine months, $88 million was achieved. The $10.4 million net loss in quarter three was nearly $14 million improvement over the previous quarter three. And for the nine months it was an $8 million improvement. Total quarter three operating expenses were $33.1 million, about the same as in quarter three 2011 despite the small increase in the size of the fleet. Some increase in repair costs due to extra dry docking was offset by savings in other categories partly because of a weakening of the euro. Daily average OpEx per vessel was $7663, slightly down from quarter three 2011. Finance costs in quarter three were $11.3 million, a 27% fall from quarter three 2011. Compared to the previous quarter, there was a positive swing of $4.7 million in bunker and interest rate swap valuations from the previous quarter three. In addition, cash paid on interest rate swap was $1.3 million less than quarter three 2011, but cash received on bunkers was less by a similar amount. Since August, fixed interest rates swap have expired. In 2012, payments on these swaps was $14 million. We will increase cover possibly soon but we will be having much lower rate and with considerable saving. In quarter three, we repaid $30 million in loans and received $28 million in new loans. So total outstanding loans at the end of quarter three remained at $1.47 billion and net debt to capital was 58%. The new loans relates to the two shuttle tankers under construction being pre-delivery financing of the building installments. A further $28 million in debt will be obtained in quarter four for the next yard installment. This will leave $47 million to be paid on each vessel on delivery early next year again through debt. There is $189 million remaining to be paid on our new LNG carrier. $21 million have been paid in early 2013, $53 million in 2014, and $115 million in quarter one 2015. Debt has not yet been arranged for this vessel. And this concludes my comments and now I will hand the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul. Well, I think that, I hope this has been a comprehensive description to the company's -- both on the chartering commercial side and the financial side for the last three and nine months. And with this in mind we would like to open the floor for any questions. Thank you very much.
Operator: (Operator Instructions) Your first question comes from Gregory Lewis of Credit Suisse. Please ask your question.
Gregory Lewis - Credit Suisse: You guys talked about -- in your prepared remarks, about medium and long-term outlook and what you seem to think about in terms of future investment opportunities. Now, clearly, when you look at where the balance sheet is today, there's really only so much that you can do in terms of investments and potentially playing the next up cycle. When you think about making investments at this point, where do you want to focus what availability of cash you have? Where do you see the best opportunities right now?
Nikolas Tsakos: Thank you, Greg. On the conventional business I think we have a very young fleet of vessels that is ready to take advantage of the upside in the market. So I think we would not -- we are not actually looking to do much of volume expansion on our conventional business. However, saying that, I mean we are in discussions perhaps of selling two of our very nice -- we are getting a bid because of the age of our fleet grid perhaps here, ten year old Suezmaxes for good return. So the majority of our fleet has been ordered at logical pre-boom rates so those ships even today have good -- would provide a good capital gain. And so if we end up selling two of our older or two Suezmaxes where we are seeing interest, we might consider, depending on the demands of our client, replacing them with two 1 or two similar ships from the conventional business as opportunities arise. So that the same could be, it’s not in the books right now but could be for VLs. I think George mentioned that we have agreed for the sales of our old VLCCs. They served us well for quite a bit of a time but they are -- our VLCCs are the only ships we operate that are pre-21st century, so we are looking to replace them. If we see opportunities from a client with something like this, we might do. I would say in the remaining segments of our conventional business, we are content. I think we have a very good exposure on the product. This exposure has fared well for us in the last couple of quarters, in this quarter and the fourth quarter we have seen quite a hot, clean market in the Med, in the Far East. We are enjoying rates that are close or above the $20,000 on our 53,000 tonners. Just a bit under that on our 37,000 tonners. And I think we have a very good stretch of fleet on that side. We are very content with our state of the art (inaudible) type Aframaxes or Sumitomo’s, which are specific built with 750 alloy so they can actually work as a Panamax. Not to tire you, I am sure you know our fleet. So the short answer, on the main business we only might be doing replacement at low level. Where we have seen, as you know we have ordered another LNG. We are negotiating a 20-year contract for that, hopefully early next year we will be able to announce that business. And of course we are expanding our shuttle participation again based on long employments. So the growth is more specialized and the conventional growth will be on a replacement mode.
Gregory Lewis - Credit Suisse: Okay, great. And that actually leads to my next question, because I think you may have mentioned it earlier on the call but I think I've read elsewhere that Tsakos is considering expanding its shuttle tanker fleet. If that were to happen, when we think about the cash position you have on the balance sheet right now, what types of deposits would -- how much cash would you have to tie up over the two-plus year build cycle on that vessel, if you indeed do go ahead and order one or two more shuttle tankers?
Nikolas Tsakos: Well, as you know we have two shuttle tankers that are going to be delivered first quarter and second quarter and they will find a home. We have found a 15-year home for them. So I think we will be replacing the lines of credits for those ships. The actual final equity outflow on those ships will be, I think, south of $20 million.
Gregory Lewis - Credit Suisse: No, I'm sorry. I mean is there the potential for Tsakos to go out and order one or two additional shuttle tankers over the next couple of quarters? I think I heard or read that somewhere.
Nikolas Tsakos: Yes, yes. I think we are looking, first of all we are tying the business up and we are looking to look in the payment terms for those vessels, as I said the payment terms for the next couple of years will be south of $20 million.
Gregory Lewis - Credit Suisse: Okay. And just one final question for me and it's more on thinking about managing through the current market environment. Clearly, you made the decision to lower the dividend and that's clearly a defensive move to get more cash back on the balance sheet. Given TEN's position and its balance sheet, would you say it’s prudent to be going after additional acquisitions right now? Or would it make sense to sort of just batten down the hatches, boost up the cash position, and really not look at expanding at all?
Nikolas Tsakos: Well, I think we are a company that has stayed out of expansion mode since 2006. That was our last expansion mode because we thought that the values of ships were illogical, to say the least, at that time. And we were sellers of ships. We are, as I said, we will be looking at opportunities. We will not be tying down the hatchet. There are many ways which we are looking to other than our existing customers. We will be financing our growth and I think we have discussed perhaps with you we can bring that one of the ways when we feel that the big expansion is needed, is the move to the MLP structure which we are studying very very closely. And that structure I think will provide us of about $300 million of additional growth when the time we believe. So I think that internally we are growing the company conservatively with our existing resources. But I think we are preparing also when we see the values bottom and perhaps they might not be there but they are getting very close to the bottom, then of course we will have the MLP structure which we feel very strong that will give a very nice advantage to the existing company and to the new company that we will be provide.
Operator: Thank you. Your next question comes from the line of Noah Parquette of Global Hunter. Please ask your question.
Noah Parquette - Global Hunter Securities: Thank you. Just following up on Greg's question on investments and the growing of fleet. Where do you stand now on the LNG option? Is there certain points you want to make with existing newbuild in terms of arranging a charter or bank financing before you exercise that? What are your thoughts there?
Nikolas Tsakos: Bank financing is not really one of the priorities when we look at decisions in the company's history. Employment for the ship is very important. As I said what we are looking is to put the existing vessel, the firm order on long employment which hopefully we can do within January. And at that time we will decide if we want to go for the next option. So basically it has to do with the employment prospect because we understand that in this market no one is there to take just blind decisions on ordering ships down the -- and when we speak about ships we are talking about LNGs which are not, you know they are really expensive ships. So the employment of the existing order then we will sit down with the board to decide if we want to have the option now or go for it later.
Noah Parquette - Global Hunter Securities: All right, that's very helpful, thank you. One other question is, you have a great charter coverage for most of your fleet but on the Aframax side you still have a lot of market exposure. Are you comfortable with that or are you looking to increase the coverage there?
Nikolas Tsakos: Well, we could fix all our Aframaxes today but I think the levels we could fix them today we would not be proud of. I mean as you follow the market, as you know a part of it, I think 50% of our spot are working on contracts in (inaudible) in the carriage. And as we speak today they are close to $25,000 a day in the last month or so, four or five weeks. So that gives justification to us keeping those ships on the spot market for now. The market is poor in the Mediterranean. It’s stronger for our other two Aframaxes in the Far East, where again we are happy we are getting close to $30,000-$35,000 on some of those ships. The Mediterranean is in the very low [tens]. And of course than we are keeping our ice class ships actually all over the -- around the North Sea hoping that we will get a freezing winter and we will get the -- that’s how we spread the Aframax risk which is, as you said, which is on the spot. So for this quarter I think it was a wise decision not to have the fix -- we have three of them that are fixed out. The remaining eight or on the spot.
Operator: Thank you. Your next question comes from the line of Fotis Giannakoulis of Morgan Stanley. Please ask your question.
Fotis Giannakoulis - Morgan Stanley: We've seen that this quarter of the market as you mentioned is getting better. But let's take a conservative assumption that after this quarter, the seasonality, the market returns to the previous poor levels. Obviously, you have a lot of options to manage your cash flow. Would you be able to rank these options to us if the operating cash flow is not sufficient to cover the scheduled debt repayments?
Nikolas Tsakos: As you see we have been able to even slightly increase operating income and deposited this so far this year. We do not expect that the market operating wise will turn negative. I think we have the resources, I think it goes to $160 million to cover any shortfall from that. We hope it will not come to that but I think our company for the last 20 years has been paying principal and interest to all our obligations and we are not actually looking for any possibility not to achieve this at least for the next two or three years. If things continue to bad after two years, we would have to take other measures. But of course in the mean time and I think I mentioned this before the company is taking measures to recapitalize and provide growth capital through various transactions. One of them being the MLP that I referred to in the previous question.
Fotis Giannakoulis - Morgan Stanley: Is there any chance that we see in order to increase your liquidity and potentially the cash available for growth, to see any capital increase possibly with family participating or contributing to some new growth capital? Or we will see more traditional ways apart from the MLP, sale and leasebacks for example?
Nikolas Tsakos: Well, I think the family will always -- the management, the family will always participate pari passu as they have done about a year ago or so with any offerings. Leasebacks is another way that could be studied. And we have quite a few ships that make it very attractive because we have very long employment as you know on a number of ships with first class charters going up to 15 years, 11 years, 10 years. So that’s another way we could do. I mean we would prefer I think the MLP. The MLP way is a growth way with the long employments we are organizing. And mainly we end up getting a 20 year charter on the next LNG. I think one of the, I would say, most secured, if you can say MLPs with first class names ranging from people like BG, Petrobras HMM. Anywhere from 15 years, 11 years, 20 years. So that will be a better way to do it. But of course as you correctly said the sales and leasebacks could provide an additional $100 million plus easily in our balance sheet if we require it for growth.
Operator: Thank you. Your next question comes from the line of Joseph Sheer of S.L. Investment. Please ask your question.
Joseph Sheer - S.L. Investment Advisors: Congratulations on a quarter that significantly included my expectations concerning the operating environment that has been experienced during the third quarter on both the revenue as well as the expense side. You had obviously great control on both. I want to make sure that I understand fully what's going on with the VLs. And I believe at some point there was talk about using the two VLs perhaps as storage tankers on a short-term basis and therefore they would produce some revenue. In today's press release, it suggests that they didn't operate at all and there was zero revenue from the two VLs that are held for sale. Is that correct?
Nikolas Tsakos: Yes, it is correct that our one VLCC, La Prudencia, was tied up with a joint venture PK Tankers in creating, in building an FPSO project for storage in the Far East, in Malaysia actually. Unfortunately this did not go through. So we have decided that the expenses of those ships are quite substantial to keep them there or own the ships. And in the last six weeks we have a lot of interest for this type of vessels. And I think a lot of it has to do with the nervousness of the main oil companies that there might be some sort of geopolitical event in the next quarter. And they are looking to buy those ships and use them mainly in the Gulf, the U.S. Gulf or the Far East as storage vessel. So we have affirmed negotiations with one of the large oil companies to provide them the vessels.
Joseph Sheer - S.L. Investment Advisors: Great. And just to follow up on this. I mean basically, short answer is more than sufficient. But I believe you had mentioned, George, that the VL rates had jumped to $45,000 per day. Obviously, that's newer vessels. What kind of a comparable jump has been experienced for VLs of the age of the two vessels that are held for sale?
George Saroglou: Around $30,000 for (inaudible).
Joseph Sheer - S.L. Investment Advisors: So, $30,000 versus, I believe it was around $10,000 at the low, right?
George Saroglou: That’s right, that’s correct.
Joseph Sheer - S.L. Investment Advisors: Okay. So, I would guess, based on that, that the reserve that you took for anticipated loss on disposition is greater than will actually be realized. Is that a safe guess?
George Saroglou: The loss on the sale of the ship?
Joseph Sheer - S.L. Investment Advisors: Yeah.
George Saroglou: No, I think it will be very close to breakeven. We do not expect any significant loss from selling those ships.
Joseph Sheer - S.L. Investment Advisors: Well, you took a charge when you announced you were selling the ships. And the question really is, do you think the ultimate price that's realized will result in a lower charge than was taken back in Q4 of 2011?
George Saroglou: No, no. I don’t think so. Paul, what do you think?
Paul Durham: No. We brought at that time -- we brought the values of those vessels down to practically scrap value as it was then.
Joseph Sheer - S.L. Investment Advisors: Right. But now that the market has improved, I would think that...
Paul Durham: That would happen, yeah. The interest has been shown in those vessels over the past couple of months has been fortunately well over that even though scrap rates have fallen. So the sales price would be effectively around that kind of mark. So we are not expecting...
Joseph Sheer - S.L. Investment Advisors: Could be around -- not a big variation from the charge that was taken. Okay, fair enough. Moving on to question two. The LNG tanker that’s on order, Nikolas has been flying around the world trying to negotiate a new contract for this thing for many months now. Could you characterize, and obviously one day it happens, and boom, that's it. But could you characterize at all, Nikos? Do you think you're closer? Do you think you're at basically the same point you were at three months ago? And what do you think in terms of the rate that will ultimately be realized versus the $80,500 that the last one was leased out at?
Nikolas Tsakos: Well, as we are advised and I think the feeling we get is really not to be on the LNG, the prospects from the brokers are that we should really wait rather than charter a vessel out. So we are only looking at really strategic industrial offers rather than -- if we have offers which we do to charter the ship for three years or five years today....
Joseph Sheer - S.L. Investment Advisors: You would want to go longer-term, I assume.
Nikolas Tsakos: We have them but we are advised that we should wait since the ship is going to be delivered in two years, we should be within 2014, close to really get the better rate. We are only looking at really long-term strategic business that will provide the other business also. So I would say, yes, we are closer but we are not in any real hurry because the full advice we get from the board is to specialize in these markets. It’s [spaced] away.
Joseph Sheer - S.L. Investment Advisors: Got it. Okay, that was the sense I had. And with regard to the second LNG carrier that you have the option on, I thought the option on that expired sometime in September. Had that been extended, or what's going on with that?
Nikolas Tsakos: Yes, it has been extended after the bid that we are participating into now which we hope will be at the end of January.
Joseph Sheer - S.L. Investment Advisors: Okay. So, the option now goes to the end of January, right?
Nikolas Tsakos: That’s right.
Joseph Sheer - S.L. Investment Advisors: Okay, through end January. Okay. Perfect. Let's see if I have anything else here. Last but not least, the last we spoke, you were relatively close to breaking a covenant on one of your small bank loans. And it had been mentioned that you were in negotiations to either pay that off or have the covenants eased. Has that been taken care of? And where do we stand with other bank loans that are coming due in the relatively near-term?
Paul Durham: Yeah, the situation is not much different from the previous couple of quarters. Yes, there have been shortfalls but they are manageable. So we don’t have any serious problems with our banks. We have great relationships with our banks. They respect us a lot. We have -- they recognize our strength, they recognize our cash flow. So the position is pretty much the same as it was in the previous quarter.
Joseph Sheer - S.L. Investment Advisors: Good. Glad to hear it, because I had gotten some reports that some of the banks, Deutsche in particular, basically wanted out of the shipping industry and they were just calling in all the loans. And, obviously, that's not the case with TNP, correct?
Nikolas Tsakos: Yeah.
Joseph Sheer - S.L. Investment Advisors: Okay, great. And, lastly, congratulations on cutting the dividend to a nickel. I think it was a great move in terms of getting rid of the negative arbitrage that you had in paying out, effectively, 19% on money that was costing you a lot less than that. And I think I've got great confidence that you'll utilize that cash flow savings in a profitable and great long term fashion. So, I was glad to have seen the cut and obviously it's great that it was eliminated but I think the cut was the right thing. I don't know if I'm in the minority or the majority, but congratulations and I'll look forward to seeing your representatives at the Capital Link Conference next week.
Operator: Thank you. Your next question comes from the line of David Beard of IBERIA. Please ask your question.
David Beard - IBERIA Capital Partners: Two questions. First, I would like to echo the congratulations on cutting the dividend, I think that was a prudent move. First, would you comment a little bit on the near term movement of rates and what accounts for the difference between ship classes, where we are seeing the VLCCs quite strong and the Suezmaxes less so?
Nikolas Tsakos: Yes, I think this is a very good point that you are making. And the explanation is that this surge of VLCC market has happened because of, as I mentioned before, demand in the Far East for also geopolitical tensions that make people want to be able to get as much oil even though ships as possible. So it is logical for the largest ships to start getting the effect first. As soon as those ships are covered it really moves down to the other categories of vessels like the Suezmaxes. So you are right. We expect this to have effect on the other categories as winter moves in and of course some sort of [potential] all over the world provide.
David Beard - IBERIA Capital Partners: Okay. And then, lastly, just to shift back to your thoughts relative to the MLP structure. Would you care to elaborate what types of assets you would like to include, and what type of charter duration may be included in that package?
Nikolas Tsakos: If you are planning to invest, yes, I will. No, I am kidding. Well, as I said we are looking to, in a sense, TEN will be the general partner and TEN will be the majority owner of the MLP anyway. What we are looking to include in there are the offshore, as we call them the gas and offshore vessels, shuttle tankers, LNGs, that have long employments. So it will basically be a different segment of our business which will be run. You need the expertise to run it also differently. You need a more expert -- sorry, (inaudible) I didn’t mean this, board of directors that focuses on the LNG and the shuttle tankers. And I think that will be provided when this structure comes in.
Operator: Thank you, your next question comes from the line of Urs Dur of Clarkson Capital. Please ask your question.
Urs Dur - Clarkson Capital Markets: Can you remind the audience of your exposure to the product tanker business for 2013, what's covered, what's not? And then I wanted to get into your views on that space.
Nikolas Tsakos: Well, as George, I think has said we operate one of the largest product carrier fleet that is around today. And this includes eight Panamax product carriers. It includes three Aframax LR-1 as we call them -- LR-2 Aframax product carriers. It include six 53,00, tonners and it includes another eight 37,000 tonners. So it’s really very large product carrier fleet. Out of that very large fleet about one third of it can take advantage of the spot market immediately and another third can take advantage of it through profit sharing arrangements. I think it’s a market that has served us well. The smaller ships, looking at the rates that they are making today is quite impressive on spot, so please do not annualize those rates because then we will have to increase the dividend again. So please -- I mean as I see today we are fixing those ships in the Black Sea making $35,000 for the 37,000 tonner, 34, 27, 19. So they are very healthy. We do not expect this to be annualized. It’s a seasonal event. But you know as long as they stick to the upper teens, mid-upper teens, I think that will be well above our breakeven point.
Urs Dur - Clarkson Capital Markets: Great. And your view on the broader market. As you said some of this is seasonal but we have demand from the Middle East to Asia being very strong heading into the northern hemisphere winter and the Atlantic basin is tight with relatively low inventories. Do you suspect this will be a stronger seasonal period than in previous years? Is this unprecedented or is this just better than average?
Nikolas Tsakos: Well, let's put it -- it is not unprecedented for those of us who were working here before 2008. So don’t forget we are completing four years of a downcycle market which has been painful. I mean we have not -- we were able as a company to be profitable in 2008, 2009 and 2010. 2011 was our first non-profitable year after 18 years in business. It seems that this year will be and hopefully ’13 will be the turning point. So it is not unprecedented. It has to do with the drying up of supply that was huge. As George said, they were almost close to 30% of the tanker overbook was in 2009 thrown in the market on an annual basis. Today we are down to 11% and diminishing. So I think it will be stronger and looking forward to enjoy some of those rates.
David Beard - IBERIA Capital Partners: Right. Okay. What is your view, if you have one, considering growth there you've seen a lot of -- well, not a lot, but you've seen significant interest in the Ecospec MR space and newbuilds. What's your view on the Ecospec discussion at this point in time?
Nikolas Tsakos: Well, I think our view -- we have a very modern fleet, if you appreciate. So our view is for any vessel which is ten years or younger, the investment required which we have done with a technical team here and the upgrades we have done, in all sorts of measures like the trim of the ship, the size of the propeller the of ship, the paint we use, the (inaudible) in the engine. So by spending a fraction what you will need to build a new ship, you can't buy 3% to 5% to what supposedly a brand new ship or eco ship can do. So I think for anybody who has an older fleet which is after the second, third special survey I don’t think it’s worth making the investment. But for young ships like ours I think the difference is minute and it can be accomplished without providing more oversupply in an oversupplied market. So I think the whole industry other than some people that might have ordered them, so they have to say this. But the whole industry is looking to upgrade their current ships. What the industry has been doing since the crisis of 2008 also slow steaming, has provided environmental preservation and huge economy optimization.
David Beard - IBERIA Capital Partners: Okay. Okay. And then, as you've mentioned before, finally, you have some exposure to the product tanker space. I think a number of people are relatively positive about that space and earnings could significantly, year on year on average, improve, which would assist your bottom line significantly and third quarter was pretty poor. But wouldn't that indicate that eventually you guys could consider, over the course of 2013, moderate dividend hikes again?
Nikolas Tsakos: Yes, I think this is our intention and the management is the largest shareholder and of course enjoys the dividend significantly. So our intention is to see how the year goes and depending to what our Chairman will say in the board I think we would like to be able to at the end of the year give a hike on the dividend.
David Beard - IBERIA Capital Partners: So, you're not hoping to just stay at $0.05 for the next three years?
Nikolas Tsakos: No, I hope not. I have three kids.
David Beard - IBERIA Capital Partners: Understood.
John Stavropoulos: Under our corporate governance structure we rely on management to make recommendations relative to the dividend and then obviously we prudently examine our financial wherewithal and decide if we want to underwrite and approve the recommendation. I have heard Nikol’s comment and I hope when we review the financial structure of the company at the end of 2013, that his wish will come true.
Operator: Thank you. You have a further question from the line of Joseph Sheer of S.L. Investment. Please ask your question.
Joseph Sheer - S.L. Investment Advisors: Yes, thank you; a very brief follow-up. I remember that you received virtually no premium on the significant number of ice class vessels in your fleet last year. What is your best guess in terms of the likelihood of them realizing at least a modest premium versus the non-ice class portion of the fleet this year and I know you are not weather forecasters but you've got a better guess than I do.
Nikolas Tsakos: Well, I think we see charters -- since (inaudible) has been chartering ships for six months at double the today's spot market and hopefully we will be taking advantage of these type of starters in the next starting on middle of December. So, yes, people are expecting a colder front and I think oil companies also are bracing for something like that. And that’s why we are positioning our ships to take advantage of that for the next four months.
Joseph Sheer - S.L. Investment Advisors: And what percentage did you mention, Nikolas, that are being charted chartered? What percentage higher than current rates?
Nikolas Tsakos: You are talking about the whole fleet? We have 33 of our vessels....
Joseph Sheer - S.L. Investment Advisors: No, I know what the fleet is but I'm talking about the current rates that are being contracted for six-month periods versus the spot rates that you're currently getting.
Nikolas Tsakos: Well, today, as we said if you have a $15,000 continent or Mediterranean Aframax market, you get about $22,000 for the ice trading offered to you by the oil companies.
Joseph Sheer - S.L. Investment Advisors: Okay, so the premium is 6 on 16. It's sort of 28%, 29% or something like that, at present versus last year it was virtually no premium, if I recall correctly. Is that accurate?
Nikolas Tsakos: That’s right, yes.
Operator: Thank you. There are no further questions at this time. Please continue.
Nikolas Tsakos: Well, again, thank you very much. We would like to wish everybody a very peaceful Thanksgiving. Enjoy that turkey. And looking forward to be able to have better results for you when we report the next quarter.